Operator: Good afternoon, ladies and gentlemen and welcome to Farmer Brothers Third Quarter Fiscal 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a brief question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the call over to your host, Tom Mattei. Go ahead, sir.
Tom Mattei: Good afternoon, everyone. Thank you for joining Farmer Brothers' third quarter fiscal year 2016 earnings conference call. I'm the company's General Counsel. With me today are Mike Keown, President and Chief Executive Officer; and Isaac Johnston, Treasurer and Chief Financial Officer. Earlier today we issued a press release, which is available on the Investor Relations section of our website at www.farmerbros.com. The press release is also included as an exhibit to our Form 8-K available on our website and on the Securities and Exchange Commission's website at www.sec.gov. Please note that all of the financial information presented on this conference call today is unaudited. A replay of this audio-only webcast will be available approximately two hours after the conclusion of this call. The link to the audio replay will also be available on our website. Before we begin the call, please note various remarks that we make during this call about our future expectations, plans and prospects may constitute forward-looking statements for purposes of the Safe Harbor provisions under the Federal Securities Laws and Regulations. These forward-looking statements represent our views only as of today and should not be relied upon as representing our views as of any subsequent date. Results could differ materially from those forward-looking statements. Additional information on factors that could cause actual results and other events to differ materially from those forward-looking statements is available in the company's press release and in our public filings, which are available on the Investor Relations section of our website. On today's call, we use certain non-GAAP financial measures including non-GAAP net income, non-GAAP net income per common share diluted, adjusted EBITDA and adjusted EBITDA margin in assessing our operating performance. Reconciliation of these non-GAAP financial measures to their most directly comparable GAAP measures is included in our earnings press release, which is available on the Investor Relations section of our website. I will now turn the call over to Mike Keown, our President and Chief Executive Officer. Mike?
Mike Keown: Thank you, Tom. Hello everyone, and thank you for joining us this afternoon. Here is our plan for the call today. I will start by hitting some highlights of our financial results for the quarter, and then I would like to bring you up to date on our corporate relocation plan and as part of that the cost reduction initiatives we have been tackling over the past year or so. After that I will turn the call over to Isaac Johnston, our Treasurer and CFO, who will discuss our financial results in greater detail. Overall we were very pleased with the results this quarter. We feel that there was a lot to like as we turned the corner in many areas, including volume, restructuring, relocation and transition of the spice business. We have much to do, but we are meeting our commitments and will continue to be very focused on the work plan ahead of us. At a high level, volume was strong with improvements both in our direct ship and DSD channel, margins improved, net income results were solid. We continue to execute well on the operation side and we made continued progress on our corporate relocation plan. While we are only in the third or fourth innings of our turnaround, we believe we have more tailwinds than headwinds at the moment. Let us look at sales and volume. We have been telling you this over the past few calls that we haven’t been happy with our volume trends during calendar 2015, but we saw that start to reverse during the second quarter of our fiscal 2016. We returned to growth during that quarter with growth in our roast & ground coffee products, compared to the prior year. We felt this was more than a blip and it represented a change in the trend line and that recent additions of customers would position us for future growth. It looks like that is proving to be the case. We are happy that net sales are up for the quarter by $2 million for this quarter compared to last year. As we have said however, looking at net sales doesn't always tell the tale because of the effect of commodity-based pricing arrangements. And during this period commodity costs were comparatively lower than the prior year period. So the bigger story is volume. Total unit sales for this quarter were up 6% compared to the same quarter last year and this was driven by increases with both our roast & ground coffee and spice products. During this quarter we processed and sold around 22.8 million pounds of green coffee compared to 20.9 million pounds during the same quarter last year. This is approximately a growth rate of 9%. That uplift came from a combination of new business as well as increases from existing customers. Next on the gross margin, another positive for this period, we saw a reduction in cost of goods sold during the third quarter. COGS decreased $4 million or 4.7% to $81.9 million compared to the third quarter of fiscal 2015. Leading the way in the reduction was lower commodity cost compared to last year's third quarter, the continued benefit from supply-chain efficiencies as well as some help from a LIFO inventory layer reduction. The increase in net sales combined with the reduction in COGS produced a gross profit of $52.6 million, an increase of $6 million or 12.9% compared to last year. That brings gross margin to 39.1% for the third quarter compared to 35.1% in the third quarter of the previous year. One thing you will note in the results for this period is the accrual for company-wide incentive compensation. Based on improving results, we increased our accrual and that is driving the increase in SG&A and operating expenses generally compared to the third quarter of last year. It seems more pronounced in the third quarter of fiscal 2016 because we reversed our accruals for incentive compensation at this time last year as our performance last year did not justify accruals at typical levels. Selling expenses in the quarter also included expenses associated with our DSD reorganization. This is approximately $500,000 and is not included in the restructuring and transition expenses associated with the corporate relocation plan. Isaac will go into more detail on this later in the call. Despite the higher incentive compensation expense stronger gross profit for the period helped drive an improvement in net income. In the third quarter of fiscal 2016 net income of $1.2 million compares favorably to the net loss of $2.6 million for the third quarter of the prior year. We incurred about $3.2 million in restructuring and transition expenses related to the corporate relocation plan during the third quarter of fiscal 2016, which was slightly less than the $3.6 million for the third quarter of last year. So looking then at our non-GAAP net income measure the third quarter of fiscal 2016 produced a marked increase to a total of $4 million in non-GAAP net income compared to $1.1 million in the third quarter of last year, an increase of nearly $3 million compared to the prior year period. This translates to non-GAAP net income per common diluted share of $0.24 per share versus $0.07 per share in the third quarter of fiscal 2015, an improvement of $0.17 per share. Isaac will go into more specifics with the financials, but suffice to say we were happy to see things pointing in the right direction at the same time during the quarter. Next I would like to touch upon key strategic initiatives with particular attention to our corporate relocation plan and other cost savings initiatives that we have shared with you previously. While we have continued to focus and work very hard on the corporate relocation, similar to last quarter there is not a great deal to report right now. Overall we are right on plan. We completed the final design on the new Northlake, Texas facility and in early March finalized revised estimated cost ranges for the building and other aspects of the corporate relocation plan, as well as updated our estimated annualized cost saving. Construction on the new facility is proceeding well despite some occasionally challenging weather, walls and steel having been going up and the roof is following. So generally things remain on track and that is a very good thing for an initiative of this size. The third-party logistics initiative that we have discussed is nearly completed its initial rollout as of the end of March, and our vendor managed inventory programs are also in progress as we planned. In addition, you may have seen that we entered into an agreement to sell our Torrance, California property, a prime location combined with a very competitive market produced very strong and competitive interest in the property. We were fortunate to have received interest from what we feel was a strong and professional group of potential purchasers and the party with whom we have entered into an agreement for sale was emblematic of the quality of the purchaser pool. We have been pleased with the results and look forward to completing the transaction. Let me now turn the call over to Isaac Johnston, our CFO, who will provide you with more details on our third quarter results as well as some financial updates on our corporate relocation plan, Isaac?
Isaac Johnston: Thanks Mike and hello. I'll spend the next few minutes discussing our financial performance for the third quarter of fiscal 2016. We continue to make significant progress towards our objectives of driving improved volume growth, along with improvements in supply chain management and financial performance. Now, let me go into some of those details. On the income statement, net sales in the third quarter of fiscal 2016 was 134.5 million, representing a 1.5% increase compared to net sales in the third quarter of fiscal 2015. This increase was primarily driven by significant increases in coffee pounds sold, which were up 9.3% and an overall total unit sales which were up 6%, which were than offset by lower prices driven primarily by customers in cost plus pricing arrangements, where the changes in green coffee commodity cost are passed onto the customer. Most cost plus customers are covered under coffee hedging contracts, which help insulate them from immediate changes in green coffee commodity prices. The gross margin in the third quarter of fiscal 2016 was 39.1% or 400 basis points higher than the 35.1% in the third quarter of fiscal 2015. The improvements in gross margin was primarily driven by more green coffee costs, improvements in conversion and leverage as we moved production from our Torrance, California manufacturing site. Gross margin includes an expected benefit of LIFO layer reduction in the third quarter of fiscal 2016 of 800,000 compared to a very similar 700,000 reduction in Q3 of 2015. Overall we experienced a very strong quarter in gross margin improvement and I am very pleased with the results. Operating expenses in the third quarter were 52.3 million, representing an increase of 4.3 million as compared to the 48 million recorded in the prior year. One major factor impacted operating expenses and then a few smaller items. First performance-based incentive compensation accruals were above plan in the quarter, as compared to a reversal of accrual for incentive compensation in the prior year, when the operating performance was behind target. This total difference in the quarter was 4.6 million. In addition, some smaller items with lower vehicle, freight and fuel cost of $500,000 were offset by a $500,000 one-time increase in expenses related to a small reorganization in the DSD business, not included in the corporate relocation plan. You might recall we discussed this DSD reorganization during the prior quarter’s call. Expenses related to the corporate relocation plan was $400,000 more than Q3 of 2015. As a result, income from operations in the quarter was 300,000 compared to a loss from operations of 1.4 million in the prior year period, an improvement of 1.7 million versus the prior-year quarter. Total other income was 900,000 in the third quarter of fiscal 2016 as compared to total other expense of 1.4 million in the third quarter of fiscal ’15. In Q3 fiscal '16 we recorded $200,000 of coffee related derivative instrument gains with coffee related derivative instruments losses of 1.8 million in the prior year period. For the third quarter of fiscal '16, we recorded an income tax expense of 43,000 compared to an income tax benefit of 218,000 in the third quarter of ’15, an effective tax rate of 4.4% in Q3 of ’16. In the third quarter of ’16, we decreased our tax valuation allowance by 600,000 and still have 82.5 million in our deferred tax valuation allowance. We will continue to monitor all available evidence both positive and negative in determining whether it's more likely than not that we will realize our net deferred tax assets. As a result of the factors I mentioned net income was $1.2 million in the third quarter compared to a loss of 2.6 million in the third quarter of 2015. Net income per common diluted share in the third quarter was $0.07 per share versus net loss per common share of $0.16 per share in the prior year period. As Mike mentioned in referencing our non-GAAP net income, which excludes restructuring and other transition costs and gains and losses on assets, you will see our non-GAAP net income was 4 million in the third quarter of fiscal 2016 versus 1.1 million in the prior year period. Our non-GAAP net income per common share diluted was $0.24 per share in the third quarter of fiscal '16 versus $0.07 per share in the third quarter of our fiscal '15. Our adjusted EBITDA margin improved to 7.6% in Q3 2016 versus 6.7% in Q3 of 2015, That brings our net income results for the first nine months in fiscal '16 to 5.7 million compared to 2.8 million in the first nine months of fiscal '15 or $0.34 per diluted share in the first nine months of fiscal '16 versus $0.17 per diluted share in the same period in fiscal ’15. Our non-GAAP net income is now 13.9 million for the first nine months of fiscal '16 compared to $7.8 million for the first nine months of fiscal '15. Our non-GAAP net income per common share diluted is $0.84 per share for the first nine months of fiscal ’16 versus $0.47 per share in the same period in fiscal '15. This quarter continues the same trend we saw in the first two quarters along with coffee pound growth accelerating. Now let's turn to the balance sheet, as of March 31, 2016, we had $13.3 million in cash and cash equivalents. Additionally, we had 24.8 million in short-term investments. As of March 31, 2016 we had 300,000 borrowed and outstanding on our revolving credit facility, so virtually nothing drawn on the revolver. Our credit facility with JP Morgan Chase and SunTrust has a 75 million borrowing capacity and a 50 million accordion expansion feature. As of March 31, 2016, we utilized 11.5 million in letters of credit and had 45.9 million of excess availability on the credit facility based on our borrowing base capacity. For the first nine months of fiscal 2016, our capital expenditures were 16.2 million as compared to 13.6 million in the first nine months of fiscal 2015. Our Capex includes fund spent on coffee brewing equipment, expenditures for vehicles, machinery, and equipment, building and factory improvements and IT related expenditures. In addition for the first nine months we increased construction in process assets under the Texas facility lease of 13.5 million offset by an increase in Texas facility leased obligations of an equal 13.5 million. On the balance sheet you will notice $9.3 million in assets held for sale, which is mainly our Torrance, California property and certain properties in Northern California. Depreciation and amortization expense in the first nine months of 2016 was 15.7 million versus 18.6 million in the first nine months of fiscal year ’15. As of March 31, 2016 we held coffee-related derivative instruments covering 36.9 million pounds of green coffee as compared to 34.2 million covered as of June 30, 2015. In addition, we had green coffee fixed-price contract commitments of 59.8 million, which is 18 million higher dollars than June 30 of 2015. As of March 31, 2016 we had $27.7 million in coffee inventory, both process and unprocessed combined. The combination of increased coffee related derivative instruments and the increase in fixed-price green coffee contract commitments has increased the price certainty on green coffee cost for us. I would like to now discuss some financials relating to our corporate relocation plan. In the first nine months ending March 31, 2015 restructuring and other transition expenses associated with our corporate relocation plan totaled 13.9 million. For the first nine month period, these expenses consisted of employee retention and separation benefits of 8.5 million, facility related costs of 2.7 million and other related costs including legal consulting and travel of 2.7 million. We have estimated that we will incur approximately 30 million in cash cost in connection with these restructuring and other transition expenses associated with the corporate relocation plan. Today we've paid or accrued 23.2 million in cash costs in connection with the corporate relocation plan, with the remainder of the estimated 30 million or 6.8 million expected to be realized in the remainder of fiscal 2016 and the first two quarters of fiscal 2017. Of the $23.2 million of cash cost associated with the corporate relocation expenses, $23.2 million has been expensed and $19.6 million of cash has already been paid out against the $23.2 million that has been accrued. In addition, we may incur certain non-cash asset impairment, post retirement related and pension related cost the amounts of which we have not yet determined. In July of 2015, we entered into a lease agreement with an affiliate of Wells Fargo to lease an approximate 538,000 square foot facility to be constructed on just over 28 acres of land located in the city of Northlake, Texas, which will include corporate offices, areas for manufacturing and distribution, in addition to housing a lab. The updated size and scope of the facility includes a larger manufacturing footprint, and a larger warehouse with increased [Indiscernible] spaces. In March 2016 we updated the estimated cost of the facility to $55 million to $60 million with machinery and equipment capital expenditures to $35 million to $39 million and those ranges remain the same. The Northlake, Texas lease agreement contains a purchase option equal to 103.5% of the total projected cost as of the date of the option closing. If the option is not exercised then obligation to pay rent would commence December 31, 2016. The expenditures associated with our Northlake, Texas facility are expected to be partially offset by proceeds from the planned sale of our Torrance, California facility and the previously completed sale of our spice assets. The sale of the spice assets was completed in December of 2015 for $6 million. The current offer to purchase the Torrance property is for $43 million, which we expect to close in very late fiscal year Q4 2016 or early fiscal year Q1 2017. We anticipate the total gain from the sale of the Torrance facility will be in the 75% of the sales price. We believe the expected proceeds from the sale of the Torrance facility, the proceeds from the sale of our spice assets, our credit facilities, cash flows from operations and other liquid assets collectively will be more than sufficient to cover our financing requirements over the next 12 to 18 months including the anticipated expenditures for our corporate relocation plan. In February 2015, when the corporate relocation plan was announced, we expected that when fully implemented to see annualized savings in the range of $12 million to $15 million. Our latest estimate in March of 2016 is $18 million to $20 million of estimated savings, including our move to third party logistics provider versus our internal long-haul fleet, vendor managed inventories, or VMI and some other items and we are confirming those ranges of $18 million to $20 million are still the same. We expect to realize these savings along with other savings at an increased rate throughout fiscal 2016 and 2017. And with that, I'll turn the call back over to Mike.
Mike Keown: Thanks, Isaac. As always, I would like to thank those on the call for your continued interest in Farmer Brothers. We are very excited about the continuing turnaround and confident that while we'll hit bumps in the road, given the size and complexity of our plan, we are making good progress and we'll continue to focus on creating value for our stockholders. And with that, I'd like to open up the call to a few questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Tony Brenner with ROTH Capital Partners. Your line is open.
Tony Brenner: Thank you. Good afternoon.
Mike Keown: Hi Tony. 
Tony Brenner: Hi. A couple of questions, Mike you indicated that the 1.9 million pound increase in green coffee sales portended an improved trend line going forward, and I know some of your larger chain customers are doing better than they were a year ago, but what else is behind that projection of ongoing improvement?
Mike Keown: Well, I think the confidence comes from a quarter where we saw improvements across the board, whether it was our direct ship business or the DSD trend improved. Within the mix we are continuing to see customers both large and small embrace more premium coffee products, which I think is a good opportunity for us. I wouldn't take the confidence as guidance or any certainty, but I think we are confident that the customers we have are making some very good decisions on how they grow their coffee business. We are proud to be part of that and hopefully we can keep the trend going.
Tony Brenner: And I believe there was in the quarter 1.8 million derivative loss and the other income line has a gain of a little over $600,000, what is the difference between those two numbers?
Isaac Johnston: I believe the 1.8 million derivative loss was in the prior year, and I have to…
Tony Brenner: You are right. I am sorry.
Isaac Johnston: Yes, we had a slight gain of derivative income this year overlapping a derivative loss of 1.8 million in the prior year.
Tony Brenner: Got it. Okay, thank you very much.
Mike Keown: Thanks Tony.
Operator: Thank you. Our next question comes from the line of Francesco Pellegrino with Sidoti & Company. Your line is open.
Francesco Pellegrino: Good afternoon guys.
Mike Keown: Hello Francesco.
Isaac Johnston: Hello.
Francesco Pellegrino: Wanted to touch on – so gross margin expanded 400 basis points, is therea way to almost normalize this number if the commodity cost environment was relatively flat and this quarter as compared to a year earlier how much of the gross margin would have expanded?
Mike Keown: We are clearly realizing a portion of the conversion cost we were anticipating. I would look within the quarter in the 200 to 250 basis impact from all the corporate relocation plan initiatives. That is probably the best normalized, and then the remaining difference has been more from a commodity – primarily from commodity price moves, but I would look in the 200 to 250 basis points coming from the productivity initiate.
Francesco Pellegrino: Yes, the productivity initiates though are occurring at the temporary transitional facility, if I am correct, right, so you are getting operating leverage as you are doing more pounds in that facility that you are eventually going to be transitioning out of this time next year. How much of this is sustainable because you are doing a lot of volume at these facilities that I am a little bit worried that when you transition to the newer facility you won't have the as great of a volume impact that you are – I guess, utilization will be lower at the newer facility than what we are currently seeing right now, and I'm just trying to understand maybe what this impact did have on gross margins going forward as we model the transition to the newer facility?
Mike Keown: I think the information we disclosed in the March timeframe in the facilities we bring up and running, we have got a $90 million to $99 million range of the cost to facility. For that the largest incremental cost is in the depreciation load associated with the facility and the incremental fixed costs are not significant in the site, but the depreciation load is the one that comes on a little bit or has the largest impact. The conversion efficiencies, the supply-chain reengineering effort of moving out of California to Houston or to North Lake, Texas there are a series of combination of items that are driving that productivity. Some of them are green coffee, supply-chain reengineering coming through the port of Houston versus coming through the port of LA, the distance of not going through the canal is an element and then the wage and benefit cost between the two Texas facilities are better than what are coming out of the California facilities. So the way I would think about it is it is more depreciation load that is coming on-stream, it will be the incremental fixed cost that you will see on the income statement. If you look at your EBITDA and then kind of back it out, then I wouldn’t anticipate a significant increase in other fixed cost as we bring the side up and running. It basically allows us to have incremental capacity as we focus on continuing to drive the business growth.
Francesco Pellegrino: I see you emphasizing this depreciation load and I know you rattled of a lot of numbers and figures to us in regards to expenses that you realized and have yet to realize to date, is there any way that you could provide us with a little bit of insight with where depreciation is going to look like for I guess the remaining quarter in the year and maybe for next year as well, because these are some aggressive assumptions that we have got to make on our part modeling the story at home, and you are putting a pretty big emphasis on it right now in regard how it is going to impact your gross margin?
Mike Keown: Well, the facility will not be up and running by the end of this fiscal year. So it will have very little impact on this year. Then we said the facility will come up in stages, through the end of Q2 fiscal ’17. So the majority of the depreciation load would hit in the back half of fiscal 2017. There was a portion of a facility is associated – that we built is associated with land, we haven't broken that number out publicly, but a portion of the cost of the facility is land, which is not depreciable and then, we broke out the cost of the building, ME, in the machinery and equipment in the – I am looking to make sure I get the exact number – 30 million to 35 million and then the cost of the facility in the total range of 55 million to 60 million, and then the ME was 35 million to 39 million. The lives that we would assume for those two categories will be the depreciation load coming on stream, or the lives you would use within pretty much any normal machinery and equipment lives and also building lives. We haven’t gone through and provided that publicly, but if you look at what is normally used that is what we will pull through in them, the P&L.
Francesco Pellegrino: We are not going to see any unique depreciation methods that is going to create a book to tax difference and put like a DCA or a DCL onto the balance sheet if you sort of front load your depreciation expense sooner rather than later, a little bit above my head, but I just want to make sure that if we can just allocate it based upon what you have disclosed in like the 10-K for the traditional assets of the company, if that sounds fair?
Mike Keown: Well, there will be a difference between the book and tax depreciation. We will follow the guidelines to ensure that we are able to capture the largest potential tax benefit that we can. So accelerated depreciation lives versus the book and then on the book side could use more of the normal lives of the assets that are used within the industry.
Francesco Pellegrino: Okay, and then just two more questions from me, Mike you referred to I guess the evolution of the business as being in the third or the fourth innings, that being said, you got a nice up tick in volume, how competitive you think you currently are given that you are working in a temporary operating environment, and how much more competitive do you think you guys could be out there sort of bidding for new customers?
Mike Keown: Well, I think we are building capabilities across the board, whether it is in sales or how we procure roasted coffee, all of those things are very important to our most sophisticated customers, and I think we are doing a very good job right now, but there is certainly room for improvement. To your point, being in a new facility, where we can better show potential customers all the capabilities we have and as we continue to challenge ourselves to grow those, I think we will become more competitive in the future. That would certainly be the plan. We have a lot that we could improve on and we are going to try to be real honest with ourselves about those areas, and that ought to do better.
Isaac Johnston: And one of the items we discussed in the last couple of quarters is the second quarter, particularly October, November, December timeframe, which is our tightest capacity time frame, the normal seasonality of coffee. We came off of that curve in the first quarter or first quarter of the calendar year, the third quarter of the fiscal year, which gave us capacity to handle more growth and we are seeing that flow through in this quarter. And then we have the new capacity coming on-stream as we get into the back half of this year, which will give us the – will have the capacity to handle the growth – incremental growth at that time.
Francesco Pellegrino: Okay, and my last question is just about the compensation, the incentive compensation that you guys incurred during the quarter, are there certain thresholds that need to be met for this level of compensation, what should I be thinking about maybe for the fourth quarter and maybe next year?
Mike Keown: That is a very good question. I am glad you asked that. If you look at our adjusted EBITDA margin, and the way I would think about it if you said, look, if you accrued a normal level of bonus, you are on plan, what is the impact to your EBITDA margin within the quarter and then also year-to-date, which will allow you to help normalize the cost. The impact in the quarter, if you assume it was a normal margin versus what we had accrued to was 150 basis points. So instead of 7.6%, our adjusted EBITDA margin would have been closer to 9.1% in the quarter, and then year-to-date instead of 8.2% adjusted EBITDA, it would have been another four-tenths, so 8.6%. So if you are looking at – if you are trying to look forward, I would use – though I would use that range within your models to kind of think about where we are at. What made the difference is last year when you reverse out our bonus and go to negative, when you are reversing it out, and then you are overlapping an incremental accrual, then it has a big swing and that big swing happened to occur to us within the third quarter.
Francesco Pellegrino: Okay. So if I hear you correctly, the difference in the compensation level on adjusted EBITDA, if you back it out, your EBITDA margin would have been 9.1% this quarter?
Isaac Johnston: If you used – if I were looking at it I would say what would be a normal level of bonus if you delivered on plan, on target, what would be the normal level of bonus, and then what is that difference. The difference if you did a normal level of bonus within the third quarter would be 150 additional basis points. So you would have been roughly 9.1 points within the quarter.
Francesco Pellegrino: Okay, that was pretty helpful. That is it from me. Thanks again.
Mike Keown: Thanks.
Operator: Thank you. Our next question comes from the line of Kara Anderson with B. Riley & Company. Your line is open. 
Kara Anderson: Hi guys. You spoke about having derivates and fixed pricing contracts that gives you some certainty on green coffee pricing for the near term, just wondering if you could comment on your expectations for the lower commodity cost that we saw in the quarter, and how long that might persist given the fact that you are pretty fixed at this point?
Isaac Johnston: Yes, you can see through both the level of derivate instruments and the fixed price contract that we have gone out much farther than what we traditionally have done. If you look at the price of green coffee, we are in the bottom third of the 5-year to 10-year and the 15-year historical averages of green coffee, which then gave us the indication to If you look go out longer than we traditionally do. So we have got – we are looking out and I believe in our Q we say we have got contracts and hedging out up to a 22-month time frame. And most companies including us, we want to make sure you are hedged out as completely within your pricing window, and then as you go out further, it has less coverage. But we have nearly got out farther up to a 22-month time frame, but as you go further and further out less than what we do in the near term. You always want to be covered during your pricing window. So you are not getting caught upside down.
Francesco Pellegrino: Okay, and then just one other quick question, can you talk about the capacity of your, I guess, prior to the corporate relocation, the three plans, and what you expect to have with the new facility in Houston and Portland all combined?
Isaac Johnston: What we have said is when we bring the new facility up and running, we will have between $24 million to $28 million additional pounds of capacity, and that comes onboard in the second quarter of the fiscal 2017 timeframe, above and beyond what we have [Indiscernible]. And though we haven't given any projections multiple years down the stream, but that is where we will be standing as of December of this year.
Francesco Pellegrino: So no comment on sort of what the capacity at Houston or Portland is today?
Isaac Johnston: Well, we did 71 million pounds last year. We are growing the business this year. So it will be north of that number for sure. So we are in the, let us say, 72 million pound range, and then we are going to bring on board another 24 million to 28 million pound above the 73 million plus 28 million takes you north of 100 million as of December.
Mike Keown: We haven't talked about anything in the future.
Francesco Pellegrino: Okay. That is it from me. Thank you.
Mike Keown: Thank you.
Operator: Thank you. And our next question comes from the line of Mitchell Sacks with Grand Slam Asset Management. Your line is open.
Mitchell Sacks : Thank you, and nice quarter guys by the way.
Mike Keown: Thanks Mitchell.
Mitchell Sacks: My question really just centers more around just kind of selling activity and bid activity, now that you are getting closer to opening Northlake, have you started to step up bidding activity, are you seeing more bid activity, just sort of give us more of a general thought around that?
Mike Keown: Sure. I think the historical perspective I would share is if you go back three or four years ago when the company was in a pretty rough situation, it was more challenging even to get at the table because if you are losing money, you are not often invited to even come in. As we have seen the company turnaround, as we built capabilities and better leverage some great employees who are already on board, you have seen the business pick up pretty dramatically from say fiscal ’12 to this year. Now we are challenging ourselves to take it to a new level with a new plant coming on board with the work we are doing in coffee procurement and quality, sustainability and some of the new product work we have done, we are going to be as aggressive as we possibly can to go get not only more volume, but the right volume where we tend to do well is for a customer who wants good value, but also high quality, who might value our experience and service, and sustainability and grow our relationships and all those types of things. So for those customers and I think that is where the industry is going we should be – should serve very well for that business and we are going after it especially now that we are through some of the capacity constraints in the second quarter.
Isaac Johnston: And you asked what the timing would be, the timing started basically 7, 8, 9 months ago. Based upon forecasting available capacity in the third quarters of 2016, which is basically in January, this capacity was going to come through just simply because of the seasonal curve. So the national accounts team has been out selling for at least the 6 to 9-month time frame.
Mitchell Sacks: Okay, thanks guys.
Operator: Thank you. And our next question comes from the line of Chris Krueger with Lake Street Capital. Your line is open.
Chris Krueger: Hi, you guys just answered my main question I had. I guess I just want to clarify in the Houston facility there is pretty bad flooding in that market, a couple of weeks ago, was there any damage or disruption that you noticed at that facility?
Mike Keown: No, none whatsoever. As you might know that is a facility that has been in that area for quite a while, and I think the supply chain team, the plant team did a great job to stay up and running. We had a few employees who had some difficulty getting to work for a day or two, but from a production standpoint we had no issues.
Chris Krueger: All right, good. That is all I got. Thanks.
Operator: Thank you. This concludes today's Q&A session. I would now like to turn the call back over to Mr. Mike Keown for any closing remarks.
Mike Keown: Okay, once again thank you very much for your interest in Farmer Brothers, and we look forward to speaking with you all again very soon. Thank you.